Hiroshi Mikitani: Thank you all for taking the time out of your busy schedules to join us today. I am pleased to provide a detailed report on the financial status of the Rakuten Group for the first quarter of 2025. In today's presentation, we will explain in order the overall summary, the performance of each segment, the financial status and the latest initiatives related to AI. I would appreciate your attention until the end. Let me report on the status of Rakuten Mobile. In the first quarter, we achieved an EBITDA profit of JPY102 million, excluding fixed asset tax. The improvement in losses has continued since last year, demonstrating steady progress toward full year EBITDA profitability. Improvements in network quality and customer acquisition strategies are showing results, and we expect further growth going forward. Rakuten Group's long-term growth model is built on 3 pillars: first, the expansion of the Rakuten Mobile business; second, global business development; and third, the Triple 20 initiative leveraging AI. Through these, we aim to increase the number of users, expand their service usage and enhance customer lifetime value, targeting sustainable growth and high returns. We are particularly focused on expanding the entire ecosystem and establishing a competitive advantage through differentiated services. Rakuten Mobile plays a central role in the ecosystem with the number of subscribers continuing to grow. As of March 2025, the penetration rate of mobile users within the ecosystem reached 13.7%. Furthermore, mobile subscribers are driving the acquisition of new ecosystem users, generating 181,000 new users in the first quarter. This promotes the use of Rakuten services as a whole and contributes to both vertical and horizontal expansion of the ecosystem. Regarding AI, we are promoting the Triple 20 initiative to improve operational efficiency by 20%. Over 13,000 of our approximately 30,000 employees are utilizing our in-house AI, Rakuten AI for Rakutenians. Additionally, more than 16,000 custom AIs have been created and are being used across business operations, delivering results in areas such as advertising, UX personalization, coding, customer support and sales support. I want to make Rakuten an AI powerhouse by fully utilizing the technology. Consolidated revenue for the first quarter reached JPY 562.7 billion, marking a record high. This represents a 9.6% increase year-on-year with revenue growth across all segments, Internet Services, FinTech and Mobile. Operating income also improved across all segments with a year-on-year improvement of JPY 25.1 billion. In particular, losses in the Mobile segment were significantly reduced. EBITDA was JPY 79.9 billion, achieving a 51.4% increase year-on-year. Non-FinTech EBITDA also turned positive at JPY 20 billion with strong performance maintained across all segments. These figures indicate a sound financial foundation for the Rakuten Group and provide a strong base for future growth. We will continue to focus on expanding consolidated non-GAAP operating income and aim for full year EBITDA profitability for Rakuten Mobile. While there is macroeconomic uncertainty, we currently see no need to change our targets. We will continue to balance management stability with growth. Regarding the impact of the macroeconomic environment, our management approach centered on the Rakuten Ecosystem makes us less susceptible to economic fluctuations. Even under various past macroeconomic conditions, we have sustained growth independent of GDP growth rates trends of both Japan and the United States. While vigilance against increasing macroeconomic uncertainty is necessary, we will continue to pursue our initial financial goals and strive for sustainable growth. Next, I will explain the performance by segment. First, I will explain the Q1 performance highlights of the Internet Services segment. Revenue reached JPY 305.5 billion, achieving a 6.9% year-on-year increase. Non-GAAP operating income was JPY 13.2 billion, a significant 25.8% increase compared to the same period last year. Both domestic EC and international business units saw revenue and profit growth driven especially by the expansion of gross merchandise sales centered on Rakuten Ichiba. Additionally, sales of Rakuten Kobo's color e-book readers performed well, contributing to business diversification. Next, please take a look at the key KPIs for the Internet Services segment. Domestic EC gross merchandise sales reached JPY 1.4 trillion, a 3% increase year-on-year. Excluding the effects of the 2024 leap year and adverse weather such as heavy snow and cold waves, the growth rate was 4.4%, indicating steady growth. Domestic accommodation bookings on Rakuten Travel increased by 48.1% compared to 2019. Advertising revenue was JPY 54.8 billion, a 5.6% increase year-on-year. International business unit's net sales were USD 430 million, achieving 2.7% growth year-on-year. As some of you may know, from March 29 this year, our commerce and marketing company transitioned to a new management team. Under this new team, we have set a major goal of achieving JPY 10 trillion in domestic EC gross merchandise sales. In 2025, we will particularly focus on strengthening collaboration with Rakuten Mobile, further evolving customer experience and leveraging AI technology. Through these efforts, we aim to raise the growth rate of domestic EC gross merchandise sales from the mid- to high single digits this fiscal year. Let me explain the details of the domestic EC business. Revenue was JPY 236.7 billion, a 6.2% increase year-on-year. Non-GAAP operating income was JPY 24.3 billion, achieving a 10% increase. Rakuten Ichiba is promoting initiatives to strengthen collaboration with Rakuten Mobile, and sales of products eligible for the Rakuten SAIKYO Next-Day Delivery service are steadily growing. These efforts improve customer satisfaction and expand gross merchandise sales. Core businesses such as Rakuten Ichiba and Travel as well as growth investment businesses such as logistics continue to contribute to growth. Regarding Rakuten Ichiba, strengthening collaboration with Rakuten Mobile has resulted in mobile subscribers generating 47.5% higher gross merchandise sales compared to nonsubscribers. To support this, we are promoting awareness of SPU benefits and conducting early sales events for subscribers. Next, in improving customer experience, Rakuten SAIKYO Next-Day Delivery service is performing well with strong sales growth for eligible products. We have also started supporting hometown tax payment products and are working to improve delivery quality. Finally, we are advancing AI utilization to streamline advertising operations such as automatic banner generation and creative review. Going forward, we will continue to focus on strengthening collaboration with Rakuten Mobile and leveraging AI to expand the customer base and usage within the ecosystem, improve customer satisfaction and increase gross merchandise sales. Next, let's talk about Rakuten Travel. Regarding domestic accommodations, the number of guest nights has been on a declining trend due to the overall market contraction. However, the total transaction value has remained flat, supported by an increase in the average daily rate. On the other hand, inbound travel has benefited from gain in market share, achieving solid growth in transaction value with a 36% year-on-year increase. To capture this inbound demand, Rakuten Travel's global site now supports 8 languages and payments in 15 different currencies. Going forward, we will continue to expand our lineup of high customer satisfaction products and aim for further business growth as a global OTA. In international business unit, despite reduced marketing expenses by U.S. companies due to tariff impacts, Rakuten Rewards saw its revenue reach USD 430 million, securing a 2.7% year-on-year increase. Rakuten Kobo's color devices continued to perform well, and Rakuten Viber contributed to profit growth, thanks to strong advertising revenue. Regarding the impact of reciprocal tariffs on Internet Services segment, we see the impact on domestic operations as limited. In overseas business, there have been some impacts on Rakuten Rewards and advertisement business. We are currently considering measures to minimize the impact and will continue to closely monitor the situation. Next, I will explain the FinTech segment. Centered on Rakuten Bank and Rakuten Card, steady revenue growth continued with revenue reaching JPY 223.6 billion, a 15.6% increase year-on-year. Non-GAAP operating income also rose 21.7% to JPY 43.9 billion driven by profit growth from Rakuten Bank and Rakuten Payment. Key performance indicators across each business continue to grow. Rakuten Card's shopping transaction volume increased 12.8% year-on-year to JPY 6.3 trillion. Rakuten Bank's number of accounts reached 16.83 million, approaching 17 million. Deposit balance continued to expand, reaching JPY 11.4 trillion. Rakuten Securities' number of accounts grew 13.1% to 12.34 million. NISA accounts, where we hold the industry's #1 market share, and assets under custody both showed growth exceeding 20%. These figures reflect the expansion of our customer base and diversification of services. Not only the Internet Services segment, but also FinTech transitioned to a new organizational structure from March 29. On the strategic front, we will take a further step beyond the previous customer acquisition approach centered on card and shift to omnidirectional customer referral that leverages the customer base of each fintech company with the goal of further expanding our ecosystem. While Rakuten Card's transaction volume has steadily expanded, profits declined due to increased interest expense and credit cost. Although interest expense increased, about 80% of funding is procured through Rakuten Bank, so the overall impact on the group is limited. The rise in credit costs is due to losses associated with divestiture of bad debt, but underlying credit risk remains low. We will continue to pursue growth while maintaining strong risk management. Rakuten Payment continues to drive growth in transaction volume, leading to an expansion of operating income. Starting in this summer, the Rakuten Pay app began offering insurance products, providing a simple insurance enrollment experience. This initiative aims to enhance customer convenience and secure new revenue streams. Regarding Rakuten Bank as a publicly listed company, its financial results have already been disclosed, but I will report them here for your reference. Rakuten Bank's fiscal year runs from April last year to March this year. So these are the full year consolidated performance highlights. Due to the Bank of Japan's policy interest rate changes and improvement of investment portfolio, interest income has increased significantly. As a result, ordinary income, which is equivalent to revenue, reached JPY 184.5 billion for the full year and ordinary profit was JPY 71.5 billion. In terms of capital, we continue to maintain a sound balance sheet with an ROE of 18% and a capital adequacy ratio of 10.6%. Rakuten Securities achieved record high revenue driven by continuous expansion of its customer base and diversification of its revenue streams with operating income increasing 8.7% year-on-year. The number of accounts also grew 13.1% year-on-year to 12.34 million. In the current volatile market environment caused by U.S. tariff policies, trading revenue from FX and other products has increased. However, stock trading and margin trading have declined, so future market conditions may impact performance. Regarding the insurance business, there are still a certain number of customers who prefer to sign contracts not only online but also through face-to-face interactions for life insurance. We have been strengthening this area, and we are now seeing positive results. As for non-life insurance, we still have so-called legacy insurance contracts that were sold in the past, and these are the main reason for our current losses. However, our recent sales of insurance products via the Internet, which are highly profitable, have been performing well. By further focusing on this area and improving our marketing efficiency, we will work to reduce these losses. The impact of tariff policies on fintech is currently minimal. However, if there are significant market fluctuations or changes in consumer sentiment in the future, it could affect payment activities and stock trading, which may in turn impact business performance. Finally, we will move on to the Mobile segment. Revenue increased 10.9% year-on-year to JPY 110.7 billion, and the non-GAAP operating loss improved by JPY 14.3 billion. EBITDA, excluding fixed asset tax, also improved by JPY 16.4 billion, achieving profitability on a quarterly basis for the first time. Profit and loss have significantly improved year-on-year due to increases in subscriber numbers and net ARPU. Rakuten Symphony experienced a revenue decline due to the timing of deliveries to its main customers, but new contracts, mainly in cloud and OSS businesses, have increased. I will provide a more detailed explanation of Rakuten Mobile's performance. Rakuten Mobile's stand-alone revenue increased by 40.7% year-on-year, and the non-GAAP operating loss improved by JPY 17.5 billion. Additionally, excluding fixed asset tax, we recorded an EBITDA profit of JPY 102 million, achieving our first ever quarterly profit. Moving forward, we aim to achieve positive EBITDA for the full year in 2025. Furthermore, the premarketing cash flow, which is the cash flow from existing subscribers excluding marketing expenses as future investments, has already reached JPY 16 billion on a quarterly basis. As you can see, we utilize virtualized technology to build a network that seamlessly connects base stations, radio access equipment, the core network and the Internet. By automating various network functions, we are able to achieve unprecedented efficiency. Specifically, automation of deployment and security settings significantly reduces construction man hours, and AI-driven automation of network operation enables proactive fault prevention and rapid recovery. Next, I will explain the financial benefits brought by virtualization. A key point is that network costs, which account for the majority of expenses, can be maintained at a relatively stable level. This means that as the number of subscribers and sales increase, operating leverage is expected to expand rapidly. As you can see in the graph, while the gross profit represented in red is growing, network costs and SG&A expenses are being controlled through efficiency improvements. We will realize unprecedented operating leverage through automation made possible only by fully virtualized network. In the first quarter KPIs, total subscribers reached 8.63 million. The adjusted churn rate was 1.56%, and ARPU was JPY 2,827. MNO service sales increased 31.9% year-on-year. The expansion of the customer base and revenue continues steadily. The net increase in subscribers for the quarter was approximately 300,000. Although there was a temporary rise in cancellations due to the spring sales competition, overall, we have continued to see stable growth. Moving forward, we aim to accelerate the pace of net subscriber growth. The growth rate of MNO B2C customer acquisition was 16.9% year-on-year, surpassing the level of the first quarter of 2024, and strong performance has continued throughout the quarter. In addition, the number of MNP porting in also exceeded both the first quarter of 2024 and the fourth quarter. We will continue to focus on customer acquisition. The adjusted churn rate increased during the spring sales season, especially in March, but has improved since the campaign ended. Here is a graph showing the MNP churn rate from our company to other carriers. Although the pricing plan revisions by other companies from October 2024 temporarily increased market fluidity, we believe the impact was short-lived. On the other hand, the rise in the churn rate in March 2025 can be attributed not only to normal seasonal factors but also to a temporary increase in incentives by a carrier. As you can see, the graph for April shows improvement, and we expect this to continue. Furthermore, in order to achieve even greater improvement, we believe that enhancing network quality and increasing awareness of these improvements are the most important factors. As part of our network quality improvement plan, to accelerate net subscriber additions, we will install more than 10,000 base stations by the end of 2025, significantly reducing coverage holes. We will also proactively implement congestion countermeasures in densely populated areas and aim to improve churn rates by decreasing the VOC, voice of customer, occurrence rate. Through these efforts, we aim to further enhance customer satisfaction. As part of our international roaming service, we started in-flight roaming with 18 international airlines last month without additional fees or the need for application. Major airlines include Asiana Airlines, Lufthansa, Emirates and Singapore Airlines. This enhances convenience for customers who frequently travel abroad for business or leisure. Regarding the progress of AST SpaceMobile, we successfully conducted a test in Japan in April 2025 and plan to launch approximately 60 commercial satellites over the next 2 years. Rakuten holds exclusive rights in Japan and aims to start domestic service in the fourth quarter of 2026. Utilizing antennas tens of times larger than those of other company satellites, we will be able to provide broadband communication services with 100% geographic coverage. Now please watch the video from our recent press conference.
Hiroshi Mikitani: Moving on to our customer acquisition strategy. Our focus is on improving network quality and increasing brand awareness while strengthening both online and off-line channels. In 2024, we implemented programs for family and youth, referral marketing and targeting of ecosystem users. For 2025, we plan to further enhance off-line channels and localized marketing. Through these efforts, we aim to expand our reach across a broad range of customer segments. Looking at Rakuten Mobile's subscriber penetration rate by prefecture as of March 2025, we see that in Tokyo, 8% of the population are already subscribers. On the other hand, there are some prefectures where the rate has not yet reached 5% or even 4%. Going forward, by promoting regional strategies that leverage our shops, we will further enhance the appeal and recognition of Rakuten Mobile nationwide and accelerate the expansion of our subscriber base. ARPU showed slight growth despite fewer days in the quarter, and data usage continued its upward trend. Importantly, the net ARPU increased by JPY 118 year-on-year, contributing to the first quarterly profit. Although the length of Rakuten Mobile Saikyo Thanks Festival, which is a strong driver of advertising revenue, was 7 days shorter in March than in December, we believe we were still able to achieve good results. We are also advancing group organizational restructuring to create further synergies centered on mobile. In February, we merged with Rakuten Energy. And in April, we absorbed a part of Rakuten Communications business to promote cross-selling and upselling for Rakuten Mobile. In the corporate business, we provide comprehensive products and services tailored to the needs of specific industries. From April 2025, we added Rakuten Communications products to our lineup. Our product portfolio includes 72 solution services, and we plan to add more than 10 additional services within fiscal 2025. Next, I will provide an update on Rakuten Symphony. In this quarter, we signed contracts with 13 new companies and established partnerships with 9 companies. This has further accelerated the deployment of our solutions. Moving forward, we will continue to focus on developing solutions that meet market needs. Finally, regarding the impact of reciprocal tariffs on the Mobile segment, we currently assess that there is no direct effect on procurement or supply. However, we continue to monitor potential risks related to U.S. policies carefully. That concludes my presentation. Next, CFO, Hirose, will provide an overview of the financials. Thank you very much for your attention.
Kenji Hirose: Thank you. This is Hirose, and I will explain our financial strategy. The current macroeconomic environment is becoming increasingly uncertain, but we have determined that there is no need to change our financial targets or policy. Our financial policy is to enhance corporate value through the establishment of a stable financial base and appropriate capital allocation. And by continuously improving our credit standing, we aim to maintain financial soundness over the medium term. On the business front, we are working on the continuous profit growth of our core businesses, company-wide efficiency improvements and cost reductions and the reduction of working capital. On the financial front, we are reducing interest-bearing debt and proactively managing our bond redemption schedule. Our specific financial targets are to achieve the ratio of net interest-bearing debt to non-GAAP EBITDA for non-FinTech businesses of under 5x and a consolidated equity ratio of 10%. Next, I will explain our bond management. In order to flexibly respond to increasing market volatility, our company is working to maintain stable financial operations through a variety of funding methods. Regarding interest-bearing debt maturing in 2025, we have already secured funds for all bonds and have completed measures, including the replacement of hybrid bonds. For interest-bearing debt maturing in 2026 and beyond, we plan to respond flexibly by selecting for multiple funding options, taking into account market conditions and economic efficiency. Additionally, for the U.S. dollar-denominated perpetual subordinated bonds with the first call date in April 2026, we will conduct an early redemption at the first call date. As I mentioned earlier, although global economic uncertainty is increasing at present, let me first discuss the interest rate environment. Please look at the graph on the left. The red line represents the yield on Japanese government bonds, and the yellow line represents the yield on our company's domestic unsecured bonds. As you can see, as our creditworthiness has improved, the credit spread has been narrowing. This is a very important point. Even if the base interest rate, which is the government bond yield, rises, the narrowing of the credit spread offsets the impact of rising interest rates. So our effective funding cost is on a downward trend. Next, regarding the foreign exchange environment, please refer to the table on the right. This is a list of our foreign bonds, and for all U.S. dollar and euro-denominated bonds issued between 2021 and 2024, we have already entered into currency swaps. Therefore, even if exchange rates fluctuate, both principal and interest payments are fixed in yen, and there is no impact on our cash flow. Regarding financial income and expenses, although it has significantly worsened compared to the same period last year in the financial statement, the majority of this JPY 33.8 billion is due to hedging loss with stronger yen related to perpetual subordinated bonds. This is because from an accounting perspective, perpetual subordinated bonds are treated as equity and hedge accounting is not applied. So this does not involve any cash outflow and has no substantial impact on our finances. On the other hand, we will continue to closely monitor the impact on the balance sheet via the foreign currency translation adjustment account. In any case, we believe that we are able to maintain financial stability even in a highly uncertain macro or market environment, and we will continue to do so going forward. Next, regarding our AI initiatives, our Chief AI and Data Officer, Ting, will provide an explanation. Thank you.
Ting Cai: Hello, everyone. My name is Ting Cai, and I'm the Chief AI and Data Officer for Rakuten Group. Today, I will let my avatar share our latest updates with you. I'm excited to share the progress we're making on AI-nization, our effort to infuse AI into everything we do for customers, partners and Rakutenians. Our vision is to augment human creativity with the power of AI. Since rolling out our vision and strategy at the Optimism Conference in August 2024, we have made solid progress, but we see much more potential to further leverage our unique data, ubiquitous channels and accelerate our growth flywheel. We continue to strengthen our deep learning foundation, invest in our own large language models and enhance our services for consumers and businesses. In Q1, we delivered many new features, new innovations and new products across the Rakuten Ecosystem. The list on this slide is just a sample of what is happening across Rakuten Group. Overall, we are focused on delivering tangible results for customers and partners. One of the key applications of our deep learning foundation is semantic search, which uses embeddings to understand what customers mean, not just what they say or type, helping them find more products and services. Since rolling out semantic search on Ichiba in Q1 2024, we have made several key improvements that are accelerating growth. For example, we released hybrid search, which combines the precision of keyword search with semantic search for better relevance and recall. This quarter's double-digit growth year-over-year is a testament to the power of AI search. When customers can find what they need and want more quickly, they are more likely to buy. Moving forward, we will expand our deep learning applications, not only using embeddings to find relevant content but also ranking it more intelligently based on factors like how popular it is and how well it matches each user's preferences. We see opportunities to further leverage deep learning and contextual ranking, and we will have more to share on this soon. Another area where AI is making an impact is ads. In Q1 2025, we updated the algorithm for keyword and bidding recommendation and made it easier for advertisers to onboard. We also improved the search ads relevance algorithm by including additional signals. The proof is in the numbers. The search ads request click-through rate and ad revenue per request are both up significantly in Q1 2025. Inside Rakuten, we have been using a tool called Rakuten AI for Rakutenians to enable everyone at Rakuten to be more creative and more productive. Rakutenians have created over 16,000 custom AI tools and templates across a range of tasks, from creating more compelling marketing content to administrative tasks like managing e-mail and recapping meetings. The impact on software development is particularly impressive. By using AI-driven software through the development cycle, from requirement gathering to product definition, prototyping, testing and operations, the Rakuten AI for Rakutenians engineering team was able to reduce the time to release up to 80%. As a global company born in Japan, we believe we have an obligation to empower everyone in Japan to build and succeed with AI. That's why I'm proud to share that our next generation of language models, Rakuten AI 2.0, our first Mixture of Experts large language model, and Rakuten AI 2.0 Mini, our first small language model, are now available for general use as open models on our Hugging Face repository. Both models were built on cutting-edge technology, are highly efficient and cost-effective and delivered best-in-class Japanese language performance at launch. They were also extensively trained on Japanese data to capture Japan's unique linguistic and cultural nuances and to be fully compliant with Japanese laws and regulations. We continue to advance the Rakuten AI Assistant, which empowers customers to engage with the Rakuten Ecosystem in a highly personalized multimodal way. This quarter, we introduced a new Snap & Ask feature, which makes AI-powered visual search accessible to everyone. Now instead of talking or typing, customers can simply snap a picture and discover a world of information and actions that make it easier for people to experience life in new places through shopping, dining and cultural events even if they aren't familiar with the language. Our open beta is ongoing, and we'll have more to share about an official launch soon. The Rakuten AI Assistant is an important first step into the emerging world of agentic AI, which we believe has tremendous potential to evolve AI into an always-on digital collaborator that proactively assists across your personal and professional life. Rakuten Group is uniquely positioned to take advantage of this technological advance and create new value for our customers and for society. First, we believe that agents will change how consumers and businesses engage with the web. Across search, browsing and advertising, agents will help humans to have a more enjoyable and productive life. Second, we see the opportunities to continue to build specialized AI like our Japanese language models and specialized models for each domain or even for every individual. Finally, we'll continue to innovate with speed and scale to create more value for everyone in the Rakuten Ecosystem and beyond. I'm proud of what we've accomplished this quarter to bring AI-nization to life, and I'm excited to see you all again in a few months to share more. Thank you for joining us today.
End of Q&A: